Svein Oskar Stoknes: Hello, everyone, and good morning. Welcome to this presentation of Aker's Second Quarter and Half-Year Results for 2021. We will start today's presentation with Aker's President and CEO, Øyvind Eriksen, who will walk you through the highlights in the quarter and how the Industrial Holdings portfolio developed in the period. Our CFO, Svein Oskar Stoknes will then cover the financial investments portfolio and the second quarter and half year accounts in more detail. There will be a Q&A session following the presentation. You can submit your questions in the chat function on the webcast. And with that, I hand it over to Øyvind Eriksen.
Øyvind Eriksen: Thank you, Christina, and good morning, everyone. In the second quarter, Aker's net asset value ended at NOK66.9 billion, the highest net asset value on record for the company. The value increase was mainly driven by growth in Aker BP, which was up 14%, including dividend and by Cognite following the USD150 million investment by the leading venture capital firm TCV. In general, we are seeing high activity across the portfolio with record high tender activity in Aker Solutions, Aker Horizons, companies entering into several important strategic partnerships and good momentum for growth across our Industrial segment. Aker's net asset value increased by NOK5.6 billion or 9% in the second quarter prior to payment of dividend. For the first half of the year, the net asset value increase was of 27% or NOK14.4 billion including dividend driven by growth both in renewables, exploration and production, and industrial software. The main contributor to the value of Aker BP is positively impacted by higher oil prices, which led to a record high operating profit for the company in the second quarter. The Aker share decreased 1% once again, including dividend in the second quarter to NOK635. This compares to a 5.9% increase in the Oslo Stock Exchange Benchmark Index. Aker's value adjusted equity ratio at the end of the period was 84% and 90% of our gross asset values were in our Industrial Holdings portfolio. Our liquidity reserves stood at NOK1.9 billion and cash amounted to NOK529 million. Aker's portfolio is highly liquid with nearly 83% in listed assets and cash. Aker BP remains the largest asset in our portfolio at nearly NOK40 billion and continues to be an important value and liquid investment in our portfolio providing valuable upstream cash as we stake out our path in the ongoing energy transition. This week marks one year since Aker's entry into renewable energy space with the establishment of Aker Horizons and its portfolio companies Aker Offshore Wind and Aker Carbon Capture. This was followed by entry into hydrogen with Aker Clean Hydrogen and the acquisition of Mainstream Renewable Power with a global portfolio of solar and wind projects earlier this year. During the same period, we have seen a strong regulatory push in the U.S. and China as well as the Green Deal in Europe, including the Fit for 55 package and IEA's Net Zero by 2050 report. We welcome such global regulatory developments and data that pushes us in a greener direction. It offers support to a growing market, but also highlights that the renewable energy market is still in the period of maturing. As one reference point, annual clean energy investments worldwide renewed to more than triple by 2030 to around USD5 trillion. We are thus not surprised nor doubt by the green market volatility in recent months. Aker Horizons is Aker's second largest asset. Our priority is to continue to utilize Aker's industrial track record and learnings to withstand turbulent times. This means ensuring that our portfolio companies have robust capital structure and liquidity reserves building solid and competent organizations and maintaining the overall ability to seize value accretive investment opportunities when they arise. A key priority, which is becoming increasingly important to our general ownership agenda is to secure and build solid long-term partnerships for growth. During the first half of the year, we have seen good examples of Aker's collaborative advantage with Aker Horizons' companies forming partnerships with great companies like Yara, Statkraft, Microsoft, BP and Shell. Investments and strategic partnerships can also serve as a testament to the growth potential and significant value creation taking place across Aker's portfolio. During the quarter, this was perhaps best exemplified by the investment in Cognite by TCV. We are very pleased to see the momentum for our software portfolio and it will surely be a busy year ahead for both Cognite and ACE. Aker has growth platforms in multiple segments. While oil and gas related industries still make up the majority of our Industrial Holdings, we are allocating more and more resources to industrial software, renewables and clean technologies. For Aker BP, the overall picture is that the company continues to develop according to plan. This includes efficient operations that result in reduced and better safety and increased production as well as reduced cost. In the second quarter, the company saw record high operating profits and is on track to deliver on its plan for profitable growth. During the quarter Aker BP and its license partners submitted a Plan for Development and Operations, a PDO for the Kobra East and Gekko project. The development will contribute to extending the lifetime of the Alvheim field, improve production and reduce unit cost. Alvheim is among the most cost efficient fields on the Norwegian Continental Shelf. Its resource base has been multiplied the since start-up as a result of Aker BP's targeted exploration and the business development, technology innovation and cooperation with suppliers. Another important project on deck for Aker BP is the development of the NOAKA area, which is progressing well and ahead of schedule. NOAKA, one of the largest remaining field development opportunities on the Norwegian Continental Shelf will be a hallmark for collaborative efforts between partners and with suppliers to have low emissions through power from shore and make extensive use of digital solutions, both in the development and operational phases. Aker Solutions has had an eventful period with several important contracts secured related to the energy transition. The record high tender activity in the period has a good balance between oil and gas and energy transition related work. And the market outlook is developing positively. The overall high activity illustrates a gradual change in Aker Solutions exposure as the company tilts further towards renewable and low carbon solutions with a target of reaching one-third of revenues from these segments by 2025. Moving on to Aker BioMarine, harvesting variations is in the nature of its business. While harvesting the last two periods has been lower than expected, Aker BioMarine continues to expand its sales and marketing efforts to develop existing and new markets with the prospective leads and new customers in addition to further increasing sales to the current customer base. The company continues to build its position in the U.S. customer market. Asia is also likely to be an important region for both Superba and Qrill Aqua going forward despite the recent setbacks in South Korea. Now, back to Aker Horizons. In the renewable energy space, securing strategic partnership has become the name of the game. The search of partnership competing for bids on the renewable projects highlights both the joint efforts for more sustainable development as well as the fierce competition shaping up globally. Aker Horizons companies are positioned to succeed in that race. In parallel, we are focused on driving organic growth and ensuring robust, long-term capital structures. Now, moving on to our unlisted assets, including the industrial software portfolio. Starting with Cognite, the company grew its revenue in the quarter, supported by continued fast-growing customer base. Many of the customers are highly sophisticated, heavy asset industry companies with complex decision making processes. Hence the exact timing of individual contract awards is somewhat unpredictable. Cognite is nevertheless on track to deliver on its revenue target for 2021. Over time, the company will gradually move to an increased share of customers on software as a service license agreements, which will positively support long-term recurring revenues. During the last quarter, TCV joined us as a co-shareholder in Cognite through a USD150 million investment. In both TCV and our other co-shareholder, Accel, we identified highly skilled partners with a shared ambition to digitalize global investors. Their quality as investors and partners is un-paralleled and their experience is in scaling enterprise software companies globally, marries perfectly with Aker's industrial expertise to accelerate Cognite's growth. Our other software company, Aize specializes on application development for asset intensive industries using Cognite's CDF technology. Aize software applications operate on top of CDF to integrate and manage data and information related to field development and to enable seamless exchange of data through the value chain and life cycle of fields. The company is actively working on the NOAKA development alongside Cognite, Aker Solutions and Aker BP. We believe this can be a landmark project for the development and use of industrial software for the rest of the industry. Lastly, over to Aker Energy. The company has matured revised development concept. CapEx and breakeven costs of the project is substantially reduced. The target is still to submit a revised PDO to the Ghanaian government by the end of 2021. That concludes my portion of the presentation. I'll now hand it over to Svein Oskar who will take you through the financials for the period.
Svein Oskar Stoknes: Thank you, Øyvind, and good morning. I will start out spending a few minutes on Aker's financial investments before I go through the second quarter results in some more detail. The financial portfolio accounted for 10% of Aker's total assets or NOK7.6 billion, which is down NOK0.3 billion from the previous quarter. As before, the main components under financial investments are cash, listed and unlisted financial investments, real estate investments and interest-bearing receivables, all of which I will now go through in some more detail. Then starting with cash, our cash holdings represented 1% of Aker's gross asset value or NOK0.5 billion. This is down NOK0.3 billion from the previous quarter. The main cash inflows were a NOK600 million drawdown on one of our revolving credit facilities and dividends received from Aker BP, Ocean Yield and American Shipping Company of the equivalent to NOK440 million. The main cash outflows in the quarter where the dividend paid of NOK873 million and investments in and loans issued to portfolio companies totaling NOK355 million. Payments for operating expenses and net interest were NOK135 million in the quarter. And our liquidity reserve was NOK1.9 billion, including undrawn credit facilities of NOK1.4 billion. Listed investments, included in our financial portfolio represented about 1% of Aker's total assets at the end of the quarter or NOK0.9 billion. The total value of this portfolio decreased by NOK105 million during the second quarter, mainly explained by the value decrease of our positions in Philly Shipyard and Solstad Offshore. The value of the equity investment in American Shipping Company was stable quarter-on-quarter and Aker posted a total dividend income from American Shipping Company of NOK25 million in the quarter. Next, real estate and other financial investments. Combined, the two represented 8% of Aker's gross asset value or NOK6.2 billion in total. The value increase is mainly explained by increased investment in Aker Property Group as Aker provided NOK175 million in new equity to the company. In the quarter Aker Property Group broke ground and started construction of Aker Tech House at Fornebu. Expected completion of the office building is in 2023, and it would be the future hub for our industrial software and renewable energy companies. Our financial investments, include a NOK2 billion loan and a NOK1.2 billion convertible loan to Aker Horizons as well as unlisted equity investments, fixed assets and other receivables. Then let's move to the second quarter financial highlights for Aker ASA and holding companies. Let me start with the balance sheet. The book value of our investments increased by NOK0.6 billion in the quarter. This is mainly explained by reversed write-downs of the investment in Aker Solutions and the conversion into equity of a convertible loan in Cognite. The total book value of our assets was NOK38 billion, and in our accounts, we use the lowest of historic cost and market values. The fair value adjustment showed in gray color on this slide, increased by NOK5.1 billion in the quarter to NOK41.5 billion. This is mainly explained by the value increases of the investments in Aker BP and Cognite, partly offset by value reductions in Aker BioMarine and Aker Horizons. The gross asset value stood at NOK79.5 billion at the end of the quarter, up from NOK74.2 billion at the end of the first quarter. Aker's liabilities, mainly consisted of bond debt of NOK5 billion, a US dollar denominated bank loan of NOK3.9 billion, Norwegian krone denominated bank loans of NOK2.6 billion and NOK1 billion euro denominated loan. The book equity was NOK25.4 billion, up NOK0.5 billion explained by the profit before tax in the quarter. If we adjust for fair value of our listed assets and Cognite, we get our net asset value of NOK66.9 billion at the end of the second quarter, up NOK5.6 billion from the first quarter, including the dividend paid. The net asset value per share was NOK901 and the value adjusted equity ratio remained at 84%. Our total interest-bearing debt was NOK12.4 billion, which is up NOK0.6 billion from the previous quarter due to the NOK600 million drawdown on one of the revolving credit facilities. The average debt maturity at the end of the quarter was 2.6 years and we still have significant headroom with regards to our debt covenants. Then to the income statement. The operating expenses for the second quarter were NOK68 million. The net value change in the quarter was positive NOK78 million. Our net other financial items were positive NOK463 million, mainly explained by dividend income of NOK440 million. And the profit before tax was then NOK466 million in the quarter. Thank you. That was the end of today's presentation and we will now move on to Q&A.
A - Christina Glenn: Great. Thank you, Svein Oskar and Øyvind. We've received a few questions on the chat. I'll start with the first one, which is when we're planning to list Cognite?
Øyvind Eriksen: Well, listing of Cognite, most likely on NASDAQ, is still a part of the strategic long-term plan, anchored well with both Accel and TCV and our co-shareholders. But we have not defined a target date for listing. That will depend on the market development as well as development of Cognite. And the focus, both for Aker as well as for our co-shareholders, is to support the development and growth of Cognite in order to build a world-class industrial software company, which will be well received by the market upon listing.
Christina Glenn: Great. Thank you. The next question is on Aker Energy, and whether you're still aiming for USD30 per barrel breakeven?
Øyvind Eriksen: Yes, we are.
Christina Glenn: Next question on Aize, is it possible to indicate what kind of growth ambitions the company has going into the next year?
Øyvind Eriksen: Well, the short-term focus in Aize is to develop the software applications partly based on the portfolio acquired from Aker Solutions last year, and partly, and more importantly, the software applications developed as a part of the NOAKA project, both for greenfield development and later on for the operational phase. So, and we are more focused, for the time being, on technology developments and implementation than sales and marketing, and that's from my perspective, the right priority to make in order to demonstrate the importance of and the functionality of the said applications, which will again be the basis for a go to market strategy.
Christina Glenn: The next one on Cognite, were two questions here. The first one is, how long does it typically take from a contract is signed until you start recognizing revenue? And the second is on Aize and Cognite, which is whether you can indicate the current share of revenues that can be defined as recurring?
Øyvind Eriksen: Well, I will start with Cognite. So what I said in my presentation is that it's somewhat hard to estimate the time it takes to conclude contract negotiations due to a large extent to the decision making process with our customers, which typically have some of the largest industrial activities in the world. And when a contract is signed, we will recognize revenue according to that individual agreement. But revenue recognition could start shortly after a contract award. And then as far as recurring revenue is concerned, the business model, both in Aize and in Cognite is to deliver technology based on so-called software as a service license agreement, which by nature will generate recurring revenue. So what you should expect to see is year-on-year a growing proportion of software as a service recurring revenue and reduced revenue from so called services, which is typically the payment for installation and development of solutions for customers on top of CDF.
Christina Glenn: Very clear. Thank you. The next question is about Aker BioMarine. Will there be any changes to strategic priorities of Aker's ownership agenda following the disappointing short-term operational development?
Øyvind Eriksen: No. Aker's commitment to Aker BioMarine and our support to the company's strategy is unchanged. But it goes without saying that we have engaging discussions with the Board and the management of Aker BioMarine about how to take BioMarine forward and realize its full potential. And Aker BioMarine today has two main challenges. The first one is harvesting and volatility in harvesting, and to a large extent, the nature of its business. And Aker believes that over time, harvesting will come back and that we will see normalized activity in that part of the Aker BioMarine's business. And the other challenge as in the last couple of years, or in the recent year, being the sale of Superba, partly due to the regulatory changes in South Korea. And as far as Superba is concerned, we support the sales and go-to-market strategy in the relative market, the U.S. and Asia Pacific, in particular. And I'm convinced that the sales of Superba will also come back. So it's a temporary setback, unfortunate, but it doesn't change Aker's commitment to Aker BioMarine and support to their strategy.
Christina Glenn: Great. And the next one is, if you can provide some more information about Ably and the long-term potential to the Aker universe of companies?
Øyvind Eriksen: Well, Ably is a trading platform for currency and FX, trading technology outside the regulatory space. And I believe provides technology and solutions of relevance to Aker companies. So we will encourage Aker companies to collaborate with Ably, but that Ably business case is not dependent on the Aker Group. We already see a growing portfolio of customers outside Aker and also for Ably.
Christina Glenn: Great. And then the final question is on Akastor and the plans - the plan to list the JV between MHWirth and Baker Hughes SDS and the potential distribution of share to Akastor shareholders. In such case, what owner perspective will Aker have as a shareholder in list of JV?
Øyvind Eriksen: As a short-term, the main focus is to complete the merger and we're making good progress together with Baker Hughes on fulfilling the closing conditions, including the relevant regulatory requirements. And the target is to close that merger by the end of this quarter. Thereafter, we will continue - we will develop the joint venture together with our new and co-shareholder and partner with a target to list the JV in the not too distant future. Aker as a main share will become a main shareholder in the JV, from day one. And Aker's strategy and ownership agenda is to maintain that role also post listing.
Christina Glenn: Great. That concludes the Q&A. Thank you all for following along today. And wish you all a great summer.
Øyvind Eriksen: Great. Thank you. Bye, bye.